Operator: Good day and welcome to the Cardinal Health, Inc. Second Quarter Fiscal Year 2022 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Kevin Moran, Vice President of Investor Relations. Please go ahead.
Kevin Moran: Good morning and welcome. Today, we will discuss Cardinal Health Second Quarter Fiscal 2022 results along with an update to our FY’22 Outlook. You can find today’s press release and presentation on the IR section of our website at ir.cardinalhealth.com. Joining me today are Mike Kaufmann, Chief Executive Officer, and Jason Hollar, Chief Financial Officer. During the call, we will be making forward-looking statements. The matters addressed in these statements are subject to the risks and uncertainties that could cause actual results to differ materially from those projected or implied. Please refer to our SEC filings and the forward-looking statements slide at the beginning of our presentation for a description of these risks and uncertainties. Please note that during the discussion today, our comments will be on a non-GAAP basis unless they are specifically called out as GAAP. GAAP to non-GAAP reconciliation for all relevant periods can be found in the schedules attached to our press release. During the Q&A portion of today’s call, we please ask that you try and limit yourself to one question so that we can try and give everyone an opportunity. With that, I will now turn the call over to Mike.
Mike Kaufmann: Thanks, Kevin, and good morning, everyone. Today, Jason’s and my comments will be consistent with the update we provided a few weeks ago. Let me start with the few high level thoughts. At an enterprise level, we continue to focus our efforts on three strategic priorities: optimizing our core businesses, investing for growth and innovation and deploying capital efficiently. We continue to believe the long-term targets we announced in November are appropriate and we remain on-track to meet our $750 million enterprise cost savings target by FY’23. Our Pharma business is performing as planned. We’ve seen volumes continue to improve sequentially and we’re encouraged by the growth we saw again in Q2. Looking ahead, we continue to expect Pharma to realize mid-single-digit growth in FY’22. In our Medical segment, we continue to experience unprecedented inflationary impacts and global supply chain constraints in our core U.S. medical and products distribution business. These impacts, combined with lower than expected offsets from pricing actions, will significantly impact medical segment profit consistent with our update a few weeks ago. While we believe these impacts are temporary, the timing of when they will be, remains difficult to predict. Consequently, we’re urgently working to mitigate the effect of these external macroeconomic challenges on our business. We’re seeing progress in other areas of the Medical segment, including our Lab business in growth areas and we recently extended several key acute care distribution customers. Looking ahead, I’ll elaborate on the actions we’re taking to drive performance, particularly for Medical, after Jason reviews our Q2 results and updated outlook.
Jason Hollar: Thanks, Mike, and good morning, everyone. Beginning with total company results, second quarter revenue increased 9% to $45 billion, driven by sales growth from existing pharma customers. Total gross margin was $1.6 billion, a decrease of 9%, primarily due to the Cordis divestiture and elevated supply chain costs in Medical. Consolidated SG&A was flat to the prior year at $1.2 billion, as the Cordis divestiture and benefits from cost savings initiatives offset IT investments and higher operations expenses. Second quarter operating earnings were $467 million. Outside of the incremental inflationary impacts of Medical, these results were generally in line with our expectations. Moving below line, interest and other decreased by 30% to $24 million, driven primarily by lower interest expense from debt reduction actions. The second quarter effective tax rate finished at 19.4%, 6 percentage points higher than the prior year due to certain discrete items, which primarily benefited the prior year period. Additionally, our second quarter rate this year included some timing favorability. Average diluted shares outstanding were $281 million, 5% lower than the prior year due to share repurchases. Of note, we initiated a $300 million share repurchase program in the quarter, which was recently completed and brings our total year-to-date repurchases to $800 million. The net result for the quarter was EPS of $1.27. Second quarter operating cash flow was strong at $1.2 billion. As a reminder, the day of the week in which the quarter ends affects point-in-time cash flows. We ended the quarter with a cash balance of $3.2 billion, and no outstanding borrowings under our credit facilities. In the quarter, we also recorded a $1.3 billion non-cash pre-tax goodwill impairment charge related to the Medical segment, which is excluded from our non-GAAP results. This accounting charge primarily resulted from additional inflationary impacts and global supply chain constraints, I’ll discuss shortly. Now turning to segments, beginning with Pharma on Slide 5. Revenue increased 11% to $41 billion, driven primarily by branded pharmaceutical sales growth from large pharmaceutical distribution and specialty customers. Segment profit increased 3% to $426 million, driven by generics program performance. This was partially offset by our previously discussed investments and technology enhancements and higher operations expenses, including cost supporting sales growth such as transportation and labor. During the quarter, we were encouraged to see continued broad-based improvements in pharmaceutical demand consistent with our expectations, including a return of generic volumes to approximately pre-pandemic levels. Our generics program continued to experience generally consistent market dynamics, including continued strong performance from Red Oak. Outside of generics, we’ve seen brand inflation trending in line with our expectations. Turning to Medical on Slide 6. Second quarter revenue decreased 5% to $4.1 billion, primarily due to the divestiture of the Cordis business. Segment profit decreased 79% to $50 million, primarily due to inflationary impacts and global supply chain constraints in products and distribution. This also reflects the timing of selling higher cost PPE, including the net positive impact from this dynamic in the prior year and to a lesser extent, the divestiture of the Cordis business. During the quarter, our products and distribution business continued to be impacted by significant inflationary pressures in the global supply chain primarily in the areas of polypropylene and international freight. Additionally, in the quarter, we saw broader inflationary impacts across the business such as domestic freight and other commodities as well as global supply chain constraints affecting the volume of some of our higher-margin Cardinal Health brand products. I’ll discuss these impacts with respect to our full year Medical outlook momentarily and Mike will elaborate on the actions we’re taking to address these macro challenges and drive performance in our core Medical business. With respect to COVID-19 and the Omicron variant, we continue to see strong performance from our Lab business, including significant testing demand generally consistent with levels seen a year ago. And despite some impacts from Omicron and various geographies, demand for surgical products related to elective procedures was comparable to both the first quarter and prior year. Now transitioning to our updated fiscal 2022 outlook on Slide 8. We now expect EPS in the range of $5.15 to $5.50 per share, primarily reflecting our updated expectations for Medical. We also now expect an annual effective tax rate in the range of 23% to 24.5% and interest and other in the range of $140 million to $160 million, with the improvement in I&O, including deferred compensation favorability which, as a reminder, is fully offset above the line in corporate SG&A. As for the segments on Slide 9. For Pharma, no changes to our outlook, we continue to expect low double-digit revenue growth and mid-single-digit segment profit growth. For Medical, we now expect revenue to be down low single to mid-single digit and segment profit to be down 30% to 45%. Consistent with the financial update provided a few weeks ago, we expect increased inflationary impacts on global supply chain constraints as well as lower than expected pricing offsets to result in an estimated incremental $150 million to $175 million headwind to Medical segment profits for the full year. This, in addition to our November 9 update regarding the pressures and international freight and polypropylene, now reflects a total net incremental headwind of approximately $250 million to $300 million to Medical in fiscal 2022. While these impacts are persisted for longer than previously anticipated, we continue to believe the majority will be temporary as global supply chain pressures eventually abate. While it will take time, we’re committed to mitigating the impacts of inflationary pressures and will continue to work through these dynamics with our customers. Now a few other things to keep in mind in terms of the fiscal 2022 cadence. For Pharma, we expect the year-over-year growth in the back half to be heavily weighted to the fourth quarter due to the lapping of some prior year items including higher costs for the deployment of IT investments and the general sequencing of our growth initiatives. In Medical, we continue to expect an unfavorable year-over-year impacts due to timing of selling higher cost PPE in the second half of fiscal 2022, though not to the same magnitude as in the second quarter. We also will be lapping the large prior year PPE inventory reserve in the fourth quarter. Finally to close, a few reminders on the capital deployment. We continue to expect the pay down to approximate $280 million of remaining June 2022 notes at maturity and continue to expect approximately $1 billion in total share repurchases in fiscal 2022. As we said, we see our increasing balance sheet flexibility supporting more opportunistic return-of-capital to shareholders as our debt pay down begins to moderate enabled by our recent $3 billion share repurchase authorization. We continue to believe that capital deployment along with the future growth that we expect in both our segments will drive the long term double digit combined EPS growth and dividend yield that we’re targeting. With that I’ll turn it back over to Mike.
Mike Kaufmann: Thanks Jason. In Medical, we’re continuing to take action to drive performance and maximize the differentiated strengths we’ve in this business. We’re vertically integrated with distribution through our comprehensive Medical products portfolio, which is generally oriented around the operating room and the intensive care unit. We also have an advantage of products portfolio in higher margin growth businesses. With our diverse customer base, we cross sell products and services spanning our portfolio. To address the challenges in our Medical business, we’re focused on three things. First, evolving our commercial contracting strategy and driving mix. Historically, costs have been relatively stable and industry participants have committed to longer term multiyear contracts. However, the rapid escalation of today’s inflationary pressures demonstrate that our contracting strategy needs to change. We’re in the process of working with our customers to adjust certain contracts to ensure we’ve more pricing flexibility for factors beyond our control. With regards to mix, as I noted in the prior quarter, we’ve made important changes to align our commercial organization structure and incentives. We’re underpenetrated in Cardinal Health brand mix relative to our potential which remains a significant mid to long term profit opportunity as we move past the pandemic and associated supply chain challenges. Within our Medical products portfolio, we’re actively improving our key category product offerings. For example, in our confidence product line, we’ve launched a new Cardinal Health brand stretch free and a comprehensive breathable platform. These enhancements directly support and meet our customers’ needs. Second, we’re simplifying our operating model and optimizing our international footprint. We remain on track regarding the timing of the previously announced exits in certain commercial markets with 35 of the 36 completed to-date. We’re focused on the modernization of our distribution facilities including breaking ground on a new distribution center in the Midwest with nearly triple the space of the existing facility enabling future growth. We believe that a diverse global sourcing network is important to remain competitive on cost and are investing in additional self manufacturing capabilities including increases in annual production of safety needles and syringes, isolation gowns and surgical and procedural masks in our own North American facility. Specifically for surgical gowns, we’ve efforts underway that would double our North American finished goods production and enhance our supply chain resiliency. Third, we continue to invest across the Medical segment including in our growth businesses, At-Home Solutions and medical services, which are aligned with industry trends and position to grow double digits in FY’22 and beyond. In At-Home Solutions, we continue to see strong demand as care continues to shift into the home. We recently announced an additional strategic investment in Medically Home, a technology company that enables health systems with other partners like Cardinal Health to safely bring the hospital at home for patients increasingly preferred to receive their care. Not only does this hospital at home model benefit patients, it also provides needed capacity for hospitals and delivers care in a lower cost setting. And in our higher margin medical services businesses OptiFreight Logistics and WaveMark, we continue to enable clinically integrated and digitally automated supply chain and are seeing growth driven by an expanded customer base and diversified solution. We’ve invested in additional technology capabilities to increase our offerings in both businesses. In OptiFreight, we’ve invested in additional technology capabilities focused on building automated technology driven solutions that innovate the way healthcare supply chain leaders manage shipping spend and take control over their transportation logistics. These efforts are connecting suppliers and customers at over 22,000 shipping locations. In WaveMark, we’ve launched a cutting edge supply automation solution for clinical labs, which automates previously manual inventory management task. This enables clinical lab staff to focus on patient care and better managed increased testing demand due to COVID-19. Our Pharma business remains on track to deliver mid-single digit growth in FY’22. We continue to make progress on our two primary objectives. First, strengthening our core Pharma distribution or PD business. This quarter segment profit was driven by the performance in our generics program. Our generics program is anchored by the scale and expertise of Red Oak sourcing, a partnership we also recently extended through FY’29 and which positions us well to meet customers’ needs. In addition, our multiyear technology investment to modernize our systems is on track. We plan to complete the rollout by the beginning of our Q4 and look to benefit from the conversion in FY’23 and beyond. Second, we’re fueling our growth businesses, Specialty, Nuclear and Outcomes. In Specialty, we continue to experience momentum in our oncology physician office business driven in part by Navista TS, our technology platform for value based care. Just this week, we announced a partnership with Ember Technologies to offer the world’s first self-refrigerated cloud based shipping box for temperature-sensitive medicines. As biopharma continues bringing cold chain biologic products to market including cell and gene therapies, this partnership will help ensure product integrity throughout the supply chain. This is a differentiated offering and one that will reduce landfill rates by millions of pounds annually and with biosimilars, we’re well positioned to support the next phase of growth as biosimilars expand into new therapeutic areas and slides of care. In Nuclear, we expect continued double digit profit growth which will result in a doubling of our profit in this business by FY’26. We continue to build out our multimillion dollar center for Theranostics advancement in Indianapolis where we partner with several pharma companies to develop and commercialize novel Theranostics and we’re investing in our PET capabilities to support robust PET diagnostics. For example, with the FDA approval of Telix’s radiopharmaceutical in Q2, we’re positioned to drive nationwide accessibility and broad adoption of prostate specific PET imaging for physicians and eligible patients across the United States. And in Outcomes, we’re adding new payers and PBMs and expanding clinical solutions for both independent pharmacies and retail chains. Outcomes recently activated it’s 20 million user on its digital patient engagement platform, which enables two-way communication between pharmacies and patients to increase medication adherence. With respect to the Enterprise, we continue to aggressively review our cost structure as we work to streamline, simplify and strengthen our operations and execute our digital transformation. We’re pairing cost reduction efforts with balance, discipline and shareholder friendly capital allocation with the focus on investing in the business, maintain a strong balance sheet and returning cash to shareholders. Long term, we’re targeting a double digit combined EPS growth and dividends yield. These expectations are driven by our growth targets for our segment, our commitment to our dividend and our $3 billion share repurchase authorization. Now let me provide an update on the proposed opioid settlement agreement and settlement process. As of today, 46 out of 49 states have indicated their intent to join the global settlement. The sign on period for political subdivisions within participating states concluded on January 26. Now each of the participating states are in the process of determining whether there is sufficient subdivision participation to proceed. After we receive notice from the states regarding their decision, each of the distributors will make final determinations by February 25. If all conditions are satisfied this agreement would resolve in the settlement of a substantial majority of opioid losses followed by the state and local governmental entities. This is an important step forward for our company as we’ve consistently said, we remain committed to being part of the solution to the US opioid epidemic and believe that settlement would provide relief for our communities and increase certainty for our shareholders. In closing, our aspiration has been and continues to be that we’re healthcare’s most trusted partner. We will do this by focusing on our customers’ need and delivering the products and solutions that advance healthcare and improve the lives of people every day. We bring life changing healthcare innovation to market harnessing the power of technology, data and insights to optimize care delivery for investing in technology and analytics to drive future growth in evolving areas of healthcare and address healthcare’s most complicated challenges. What we do matters and we’re focusing our resources on building solutions to meet the needs of our customers and their patients now and in the future. And now, Jason and I will take your questions.
Operator: Thank you. [Operator Instructions] And we will go ahead and take our first question from Charles Rhyee with Cowen & Company. Please go ahead.
Charles Rhyee: Yes, thanks, guys. Mike and Jason, I want to talk about the issues with supply costs here, and we’re obviously challenged at the moment. But can you talk a little bit more about As, let's say, these pressures ease, let's say, hopefully, later this year or whenever? Can you talk about how those expenses that you are incurring today roll off? Do they kind of roll off fairly quickly, or is it that these kind of knock-on effects of delays and everything for all your supplies and equipment just kind of just drag even further beyond if we were to see reports that the ports are working as normal? How long is that kind of follow-on effects before everything really would return to normal? And from a P&L perspective, are these kind of expenses kind of overshadowing, let's say, sort of the underlying performance of the division or a little more color on that would be helpful? Thank you.
Jason Hollar: Sure. I'll definitely start here, it’s Jason, and then I'm sure Michael has some thoughts as well. But generally speaking, the vast majority of these costs that we've outlined are product-related cost or cost to get the products shipped to United States where our customers typically are. And as such, most of those costs are included in inventory and then expensed as they're sold. So that means that there would be a one to two-quarter delay in terms of when those costs begin to come down and when you would start to see that offset then in the P&L. And that's I think fairly typical for the - what we saw with PPE as well last year in terms of that type of cadence. Now there is some of this, a smaller portion is related to the volume impact of the supply chain constraints, so that's obviously going to be at the time that volume freeze up. There's a small part that the period cost, but it's much less significant. Again, the biggest buckets when you step back and think about the $250 million to $300 million, that's an aggregate that we're talking about, is that international freight is the biggest piece and it's very much inventoried as I just described. And then the second largest would be the general commodities we talked about, commodities like oil-based commodities like polypropylene, that is the big driver that again those would all be inventoried cost and then flowing through. As it relates to the overall impacts to the business, just using Q2 as the example from a year-over-year perspective, this overall aggregate impact of the inflation and net of pricing is the greatest driver of the year-over-year reduction. We did as a reminder have favorability last Q2 as it relates to the timing of PPE pricing cost. So it's a little bit of a headwind than on an absolute basis this quarter, but it's more significant, the comparison to the favorability of last year. And that's about $60 million in this quarter. So that's a relevant piece to the year-over-year impact. And then the final piece as you know, Cordis is running at roughly - last year was roughly $20 million a quarter. So the absence of that business as was divested is that last piece. So I think that gives you most of the key pieces.
Mike Kaufmann: Yes, the only thing I would add Charles is that wow everything Jason said is true, the one to two quarters and all that. One thing I want to make sure people understand is we're actively getting after this now. So we're not going to have a strategy of just waiting for these to come down. So we are evolving our commercial and contracting strategies, that is something we're actively doing, working with customers to be able to either pass on some of these prices change or contracting driving our mix as we talked about and continuing to aggressively get after our cost and invest in our growth businesses. So while we will hopefully see these come down because we do believe these are temporary, we're also at the same time getting after things that we need to do manage and operate the business aggressively. Next question?
Operator: We will go ahead and move on to our next question now from Lisa Gill with JPMorgan. Please go ahead.
Lisa Gill: Hi, thanks very much. Mike, can I just first start with a follow-up to what you just talked about. When we think about your medical business longer-term, I know you previously had a goal of north of 5% operating margin improvement surge. I know they part of that was the higher margin of Cordis. But when we get back to a more normalized basis, how do we think about what the margin should look like in that business?
Mike Kaufmann: Yes, that's a great question. We've now put that out there. I will give you a couple of things. Obviously at the inflation goes away and as we said, we believe this 250, the 300 that the vast majority of that is temporary. So you can add that back to our margin rates as the biggest driver. Second of all, the second thing I would add is we said we want to drive mix. And what we mean by that is selling more of Cardinal Health branded products versus National brand. That's going to also drive our mix in a positive way. We're getting after expenses, that's going to drive our margins to for the segment. And we're growing our growth business, which do have higher margin. So all of our key initiatives not only will drive bottom line, but they all should drive margin rates up significantly. But at this point in time, we're not putting target margin rate out there that we're going after.
Operator: And we'll go ahead and move on to our next question from Eric Percher with Nephron Research. Please go ahead.
Eric Percher: Thank you. I want to stay on this topic, and my question is can we talk a little bit about your expectations for some of these specific items may be built into the year or your view on duration? And I separate kind of freight commodity and then the sales volume and duration on how long you pass this on given the new contracting methodology. Can you just give us your take on either expectations today or based on prior experience and what you know today the duration of those trend pressures?
Jason Hollar: Yes, again, this is Jason, I'll start. So to your point, it will potentially differ not only by type of cost, but also the magnitude of what we're talking about. So as it relates to first of all, just to the international freight, one thing to highlight is that that particular area of cost has remained at very elevated levels. So at this point, we're not seeing much of a change from where we have been. And so that's something that is a clear part of our pricing focus is to make sure we can get at least a good portion of that recovered. As it relates to some of the other commodities, they've been more volatile. We have seen some that have started to appear to come down that cost sort of looks like they may have plateaued and started to reduce others that have been choppier. And so that environment where the costs are moving around a lot, it is -- provides more challenges as it relates to getting that pricing more established. I think the key is, as you think about the cadence of what this impact is on a net basis, that $250 million to $300 million, we have already incurred about a $100 million of that year-to-date. That $150 million to $200 million that's remaining within our guidance, we see that peaking in the third quarter and that's a combination of not only the cost we expect to be at its highest and then as they start to come down and that takes that delay to get it actually flowing through our inventory to our P&L. That then will start to benefit us later in the year. But also that also the timing of when we would start to see from the pricing actions that we have already begun to start to come through. It is just the beginning, it's not offsetting enough of that. There's more activity that will need to still occur. But it all depends on exactly what that cadence is of cost and the key is that we remain very close to both the GPOs as well as our customers to manage through that on an item-by-item customer/customer basis to get to an answer then that will give us the right cadence exiting the year. With all that said I’ve given the one to two quarter lag even of if costs do come down and even if we have more success with the pricing we would expect there to be a carry over into fiscal ’23 there will be some impact [on result] of the year but we need to see the cadence of both the cost and the pricing before we can establish that more clearly.
Operator: We will go ahead and move on to our next question Ricky Goldwasser with Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi, good morning. This is [Dan] for Ricky. Two questions from us, one as we think about you are moved to little bit more finished goods production back in North America. How should we think about that in terms margin sort of an pre-COVID environment and the impact of margin as we think about your margins in the recent quarts and as a follow up just wanted to confirm updated tax rate interest expense guidance back in today, but that enquired early January updater, is that incremental. Thank you.
Mike Kaufmann: Jason will talk about the tax rate then I can talk about the margin.
Jason Hollar: There was some small differences in this latest update the tax rate was just bringing down the top end a little bit low and was not much with difference there. The interesting another change I highlighted was in part related to deferred comp and as reminder that just geography between interest and other as well corporate SG&A so, yes there was largely considered in our prior assumptions but as a lot of it is just geography anyway. So there's no material difference in those other updates.
Mike Kaufmann: And as far as moving capacity to our North American operations, I would say a couple of things. Generally I wouldn’t say that we would expect much of a margin difference, if it was manufactured outside of North America versus manufactured here. That is not something I would say would be a margin driver, it's more about supply chain integrity, which is why we moved in there. So if there are disruptions in the future, we obviously then have certain key items closer here. So we've chosen as items that can be highly automated, make a lot of sense and freight is a big piece of it. So that we can still stay cost competitive. So again I want to say it's margined generating in and of itself. However by increasing the capacity on some of these items like we mentioned doubling our ability to manufacture our own gown, that does give us more ability to sell our own product which is we drive mix that would increase our overall margin rate.
Operator: And we'll move on to our next question from Jailendra Singh with Credit Suisse. Please go ahead.
Jailendra Singh: Thank you, and good morning. A run up. With respect to the third, 250 million to the 300 million impact in medical segment, can you be a little bit more specific on how much impact did you see in fiscal first half and how much is expected in second half. And a follow-up to an earlier question, how should be modeled the split between 3Q and 4Q on the remaining impact. I'm trying to better understand if all these initiatives you're putting in place are more focused on positioning the company in better next time you see these kind of pressure or do you think there's a possibility these initiatives result in some near term offsets and are you capturing those in your outlook?
Jason Hollar: Yes, I -- if I understood the question right, Jailendra, the I think I'd answer before I'll go and repeat that. So the 250 million to 300 million, 100 million was has already been incurred in the first half. I think about it as kind of a sequential step up, so Q2 was higher than Q1 and Q3 is expected to be higher than Q2. And then that's the period that peaks before it starts to come back down. So there is, it depends on that if we're talking sequential or year-over-year from a sequential perspective from Q2 to Q3 within the medical business. That is just the ongoing cost reductions that we would expect to be always in place that continue those initiatives we talked fairly consistently about are there. Within the other type of PPE impacts, like I said from a year-over-year perspective in the second quarter, it was $60 million headwind. There was a small headwind in an absolute basis in the second quarter that we think will be less in the third quarter. So it's a bit of an offset and not significant but generally speaking it's the inflationary impacts. So the most pronounced from a year-over-year as well as expected to be a little bit greater than in the third quarter.
Mike Kaufmann: Yes. Things I would add be helpful here is Jason mentioned as we expect some of the inflation impacts to start to hopefully come down some and that will give us a little bit of benefit in Q4. We also see our pricing actions ramping up some in Q4 too because we are continuing to implement additional pricing actions. We have some going into effect here very soon that have been agreed to. So we're working through those. So I would say that that would be a positive item going forward for us. Also as we mention, we are working on our commercial contracting strategies. And so, as we work through those contracts, our goal is to give us more flexibility. So that in the future if there is another instance like this, we are able to react a quicker and address our pricing and work with our partners in a very transparent and productive way because our customers are obviously some of the thing that we have to always have in the front of our mind but we do need some more flexibility in the business and we are working aggressively to work with the GPOs and our customers do that.
Jason Hollar: And Jailendra, as you do your modeling for the balance of the year, just remember in the prior year we had the significant inventory charge in Q4 that would of course not be expected to replicate here this year.
Operator: We will then and move on to your next question from Michael Cherny with Bank of America. Please go ahead.
Michael Cherny: Good morning. Thanks for the details. Mike, you mentioned in your remarks how you had a few customer extensions to some of your key customers on the medical side. Especially against this backdrop of your focus on re-contracting, would love to know a little more detail about how qualitatively those discussions went and in terms of your thought process where we're re-contracting, we're able to test out where you were able to get through and not get through and what customers are willing to accept relative to that change contracting dynamics especially given the obviously extensions on customers that have worked with you, I assume for at least a long time.
Mike Kaufmann: That's a great question. Yes, we're -- we are working aggressively on that. It's not just the individual customers, in fact it's just as important to be able to work with our GPO partners to allow us because you really have to coordinate between all three of them. So there's still absolutely work to do but we're seeing some positive signs from both the GPOs and the customers that understand the importance of having a strong supply chain and strong supply chain partners in medical distribution. That these are things that we're going to have to work together. Key things that we've learned to those discussions that we'll be helpful as one, our willingness to be transparent with them so that we understand as costs come up why are they going up and also when costs come down so that they know that you're not continuing to charge a high price when things have got better and we're very willing to work with them on this transparency piece which I think will help both parties understand the importance of what we need to do here from a pricing standpoint. So I would say early indications have been positive but still a lot of work to do as we work on changing our commercial strategies.
Operator: And our last question comes from Elizabeth Anderson with Evercore. Please go ahead.
Elizabeth Anderson: Hi guys, thanks so much for the question. I was wondering if you could comment on as we sort of have gone through a month in the new quarter. Just now you're seeing sort of volumes come back particularly on the surgical side and also on to the home care just so sort of we think about the cadence for that going through the back half of the year?
Mike Kaufmann: Yes. And maybe I'll just take the opportunity to just talk about volumes in general because I think whether it’s pharma or medical, the general response is about the same. Within medical, while there has been certain level of choppiness over the last three to six months, largely it's been very consistent with our expectations. We indicated before we are back to near pre-COVID levels and this quarter was pretty consistent with our expectations. And sequentially, from the first quarter as well as the year-over-year, there were not many differences. And so, there's noise but the key is that state-by-state, geography-by-geography, different regions are impacted at different times to different extents but we're just not seeing big impact. That’s because our customers continue to do a wonderful job of providing great service to their patients and that's providing a better balance underneath the volume than what we saw earlier on in the pandemic. On the pharma side, we continued to talk in today's prepared remarks as well as a couple of weeks ago and just that we continue to see that widespread improvement back to pre-COVID levels and we have largely gone back to that point at the end of the second quarter and so we're just not seeing a lot of variability there as well.
Operator: And with that, that does conclude our question and answer session for today. I would now like to turn the call back over to Mike Kaufmann for closing remarks.
Mike Kaufmann: Thanks, Ali. I want to thank everybody for taking the time to be on the call today and for all of your questions. I like to conclude by reiterating that we are taking action to mitigate these inflationary impacts in supply chain constraints. And we're laser focused on driving improved performance across all of our businesses. So please stay safe and we'll speak with you again soon. Take care, everybody.
Operator: And with that, that does conclude today's call. Thank you for your participation. You may now disconnect.